Operator: Good morning, ladies and gentlemen, and welcome to Siemens 2025 Second Quarter Conference Call. As a reminder, this call is being recorded. Before we begin, I would like to draw your attention to the safe harbor statement on Page 2 of the Siemens presentation. This conference call may include forward-looking statements. These statements are based on the company's current expectations and certain assumptions and are therefore subject to certain risks and uncertainties. At this time, I would like to turn the conference over to your host today, Mr. Tobias Atzler, Head of Investor Relations. Please go ahead.
Tobias Atzler: Thank you. Good morning, ladies and gentlemen, and welcome to our Q2 conference call. All documents were released this morning and can be found also on our IR website. I'm here today with our CEO, Roland Busch; and our CFO, Ralf Thomas, who will review the Q2 results. After the presentation, we will have time for Q&A. With that, I hand it over to you, Roland.
Roland Busch: Thank you, Tobias and good morning, everyone and thank you for joining us to discuss our second quarter performance and our perspective on the remainder of fiscal 2025. The last few months demonstrated to all of us how fundamentally and how fast the world is transforming. This has a huge impact on our societies and how companies are operating. We knew all these challenges very well and we will talk about the impact of cheaper shifts, tariffs and trade restrictions and about the resulting effects on supply chains in a minute. However, it's worth noting that this phase of change comes with significant opportunities too. In an environment of accelerating technological progress driven by data and AI, we have to fundamentally rebuild our products, processes and the way we operate. It is crucial that we fully embrace new technologies as companies, but also as societies. But it is a trigger for reinvention. Fewer silos, less bureaucracy, much higher speed when it comes to innovation and time to market. Through our leadership in industrial AI, we enable our customers to combine the real and the digital worlds to improve competitiveness, resilience and sustainability and to achieve real impact. Our markets are attractive, aligned with secular growth drivers based on well-established long-term trends. Our localized footprint makes us a strong partner across the globe to support upgrades in infrastructure, transportation and industry. And we are ready to leverage public investment plans and to contribute towards high-quality secure and sustainable growth. Now let me outline the key highlights of our successful second quarter. Our very robust top line performance underpins the relevance of our offerings. Book-to-bill reached a strong 1.1 with all businesses at or above one. Our high-quality order backlog stands at a healthy €117 billion supporting future profitable growth. Group orders reached €21.6 billion, up 9% over the prior year. Key drivers were Mobility and Healthineers, both up double-digit. Smart Infrastructure, again delivered orders on a high level. As expected, orders at Digital Industries were up sequentially and on level with prior year driven by our automation business. The recovery was fueled by short-cycle product business in China where destocking of elevated stock levels at customers approached completion by the end of the second quarter as anticipated. Looking ahead, further recovery of economy -- economic activity will depend heavily on clarity about the future tariff environment and on timely resolution of trade conflicts. This is clearly noticeable in our conversations with customers who point at a high level of uncertainty. Investment sentiment in core industries such as automotive and machine building remains soft, particularly in Europe, core export-driven markets like Germany. Overall, revenue growth reached 6% with strong double-digit contributions from Mobility and Smart Infrastructure. The latter was again driven by an outstanding 18% growth in the electrification business on stringent execution of data center projects. The automation business at Digital Industries delivered slightly ahead of expectations, down mid-single digit over prior year, but with sequential improvement from the trough levels we saw in Q1. Software was modestly lower due to fewer large orders in EDA business on tough comparables. All regions contributed to the group's revenue growth reflecting stringent backlog execution. The Americas were up 11%, fueled by strong momentum in the United States, while EMEA grew 5%; Asia, Australia was up 2% on strength in India, up by 8% and on a stable development in China. Robust revenue growth converted into strong results for profitability and free cash flow. An excellent profit of €3.2 billion in the Industrial business, clearly topped market expectations even without the divestment gain for the wiring accessories business. I'm very pleased with the operational profit margin of 15.3%, excluding the wiring accessories gain. Earnings per share pre-PPA, as reported reached €3 and stringent cash conversion led to a strong €2.1 billion of free cash flow in the Industrial business. With rising macroeconomic and geopolitical uncertainty, future developments are becoming increasingly difficult to predict. Although significant uncertainties persist, we confirm our group outlook for fiscal year 2025, and Ralf will give you further details. We have defined our long-term direction for Siemens as ONE Tech Company. This program helps us to strive for stronger customer focus, fast innovations and higher profitable growth. Executing on the program's foundational tracks is delivering great value for our customers. The benefits were clearly visible at the Hannover Fair, where we showed a broad range of AI-driven innovations that we will scale. When I was in China a few weeks ago to attend the China Development Forum, we noted some encouraging signals for more cooperation and openness to drive high-tech and high-quality growth in China. And we are there at the right time to foster growth in the Chinese market with our recent strategic smart manufacturing product launch. 16 new locally developed automation and digitalization products focused on value for money were introduced, 18 new products in total. Customer feedback has been excellent, and we are exploring many new business opportunities. As a second pillar, we are stringently executing on the program's investment track to shape our portfolio, such as Closing the Altair acquisition at the end of Q2 earlier than expected, expanding our software offerings to the life science industry by acquiring Dotmatics, pursuing smaller bolt-on acquisitions in the software field and driving divestments such as the wiring accessories business and more than doubling our production capacity in the United States for electric equipment to power critical infrastructure. As part of the program's productivity initiatives, we continuously work on optimizing our footprint and value chains, a key success factor for managing tariff turmoil effectively. And we are making good progress in strengthening competitiveness in the DI Automation business. The plan is to adjust capacities, realign sales activities and intensify collaboration in product development globally. Well, those of you who visited the -- our packed booth in Hannover experienced firsthand how our teams drive innovations together with customers and partners. And the winning formula is data plus AI plus domain know-how. And let me highlight just a few examples. First, software-defined automation. Together with Audi, we introduced and successfully went live with a virtual plc on one of Audi's production lines. The benefits are higher speed and flexibility. And in addition, Audi is taking the opportunity to analyze data centrally, build AI applications and improve decision-making. Second, we announced a series of new AI-driven Siemens Xcelerator applications and innovations built together with some of our powerful ecosystem partners such as Microsoft, NVIDIA and AWS. Our long-standing partnership with Accenture is progressing to the next level. Dedicated business practice of up to 7,000 Accenture professionals is now being formed. The goal is to combine Siemens technology, access to data and deep domain knowledge in software, automation and industrial AI with Accenture's power to apply data and AI in engineering and manufacturing for customer solutions at scale. And I'm very proud that our Siemens Industrial Copilot received the prestigious Hermes Award for this year business impact. It is a clear business and first for our company. After a very stringent regulatory approval process, we closed the Altair acquisition at the end of Q2, which was earlier than planned. We immediately started to bring the teams together beginning at the Hannover Fair. Customer feedback for the most complete AI-powered design and simulation portfolio has been excellent. The teams have started integration activities and have begun implementing comprehensive measures to ensure cost savings of more than $150 million. Our joint organization will drive revenue synergies from cross-selling our highly complementary portfolios and from providing the Altair offering full access to Siemens direct and indirect sales footprint. We will upgrade you on a regular basis about the integration process. A few weeks ago, we announced another strategic milestone, the acquisition of Dotmatics, a very successful, fast-growing and highly profitable U.S.-based leader in R&D software for the life sciences sector. Dotmatics has built a market-leading SaaS platform, featuring a best-in-class portfolio of scientific applications and their unique AI-enabled multimodal data platform. You probably analyzed our comprehensive presentation explaining the investment highlights in detail. Now let me briefly summarize our rationale. We will accelerate the process from drug discovery to manufacturing so that new therapies can reach people faster and more affordably. Today, bringing a single drug from idea to the market can take over a decade and cost billions, yet speed and effective processes drive economic success. This challenge keeps pharma CEOs up at night. The trend in life sciences moving away from wet labs in the real world to dry labs in the digital world. And many customers would agree that one of the biggest hurdles in side is siloed data, which limits insights across the entire life cycle and slows decision-making. Our leading automation technology and AI-powered digital twins as well as intelligent infrastructure offerings already support hundreds of pharma customers. They can produce medicine faster in smaller lot sizes and more agile with the required standards of high-quality and resource efficiency. Many of you could experience hands on our comprehensive offerings by visiting the pharma showcase at Hannover Fair. Now we are combining Dotmatics portfolio with Siemens leading technology and deep expertise in manufacturing and industrial AI. Combination will create a unique end-to-end digital threat from early research and development to full-scale production. Our customers will be able to innovate faster and accelerate the time to market for new medicines. This move increases our total addressable market by $11 billion in the area of software for life sciences with resilient double-digit market growth. We will apply our proven value creation playbook from discrete PLM and EDA to life sciences, driving growth and synergies by expanding from pharma also into chemicals, biofuels and customer packaged goods. Our goal is clear, we will further strengthen our #1 position in industrial software. Our digital businesses on a robust growth trajectory and stands at €4.1 billion after the first half year, up 9%. Besides targeted acquisitions, we are expanding and scaling our Siemens Xcelerator offerings across all businesses to foster further growth. Innovation is at the heart of our organization. This is fully reflected in Siemens taking the lead among European companies in pattern trackings driven by machine learning and AI. A major contributor to digital business is the continuing progress in transforming main parts of DI software business towards software-as-a-service. ARR growth, again reached a very healthy level of 12% over the previous year. The cloud portion stands at €2 billion, equaling 45% of ARR. And the team is on track, and we confirm the target of 50% by the end of fiscal year 2025. All customer-focused performance indicators continue to head in the right direction as well. As we have discussed on various occasions, Siemens DNA has been global from the very beginning. This is reflected in our strong local-for-local footprint legacy, which we have continuously expanded over time. We have analyzed our value flows thoroughly and have estimated the tariff impacts based on the current tariff regime, which is obviously highly volatile. Based on our assessment and including mitigation actions, we see for our DI SI and Mobility businesses a limited net profit impact in fiscal year 2025. Around 80% of their U.S. cost base stems from North America, with the vast majority from within the United States. Where needed, we are taking a comprehensive set of actions such as applying contractual terms and executing price adjustments. We're also diversifying as well as rebalancing sourcing and production capacities. The current situation is complex and volatile and is closely monitored by our teams. Siemens Healthineers disclosed last week, they faced significant headwinds on profits of around €200 million to €300 million. And as I said in the beginning, the knock-on effects of uncertainty will have on customers' behavior on global demand and on the overall economy are very difficult to predict. And with these perspectives, over to you, Ralf.
Ralf Thomas: Thank you, Roland, and good morning to everybody. Let me share more about our strong fiscal Q2 performance and expectations looking ahead. Orders for digital industries at €4.3 billion were on level with the prior year and slightly up sequentially with a book-to-bill of 1.0. It was encouraging to see that the automation businesses showed 8% growth over prior year with low teens growth in discrete, while process was flat. As expected, the software business was below the prior year on a lower volume of EDA orders. Orders nearly reached €1.5 billion for a book-to-bill well above one. And the underlying market dynamics and manufacturing output, we saw some indications for improvement primarily in Asia as well as signs of stabilization in the U.S. and Europe. However, rising tariffs and trade tensions have put a risk on further recovery in important customer industries such as automotive and machine building. They are also putting overall investment sentiment at risk. In April, we observed some caution in decision-making by some of our customers. As expected, customer destocking in China mostly came to an end by the end of the second quarter. We will maintain close communication with many of our Chinese distributors and will monitor our stock levels diligently going forward. Our backlog at digital industry decreased moderately to €9.4 billion. Then the software backlog remained at €5.7 billion affected by weaker U.S. dollars. The automation backlog stood at a base level of €3.6 billion. Revenue for DI was 5% lower, slightly ahead of our expectations. Therein automation revenue was down 6% over prior year to €2.9 billion, but well above the trough reached in the previous quarter. Discrete automation declined by 8%, but with sequential improvement in factory automation and motion control. Process automation was flattish. The software business was modestly down by 2%. There, a significant decline in the EDA business more than offset healthy growth of 9% in the PLM business. The ICE profitability, excluding Altair reached 15.4%, an increase over the first quarter. Altair-related transaction costs weighed on the reported margin was 60 basis points. The robust profit margin in automation was supported by stringent cost management, while profitability in software was softer due to a decline in EDA revenue. Severance charges played a minor role in the second quarter. However, we are in ongoing consultations with employee representatives on executing capacity adjustments in Germany and other regions to strengthen competitiveness. As already indicated, we expect to record material severance charges in the second half of fiscal '25 with the bulk of them occurring in the fourth quarter. Continuing pricing discipline and productivity gains supported a net positive economic equation in the second quarter, which we aim to maintain in fiscal '25. Digital Industries achieved a solid free cash flow of more than €500 million. Now let me give you the regional perspective on our top line automation performance. As mentioned, automation orders continued to recover. In China, orders increased sharply by 41% over the prior year on easy comps and were just slightly below the strong first quarter. Muted economic conditions still weighed on growth momentum in Germany, while Italy was up 12% for the prior year. As destocking effects have faded, revenue development has been returning to normal patterns that are rather closely linked to order intake and actual market demand. All large regions improved sequentially. China up by 2% stands out as the first major country to return to revenue growth over prior year. Looking ahead, we confirm our fiscal '25 guidance for organic revenue growth of minus 6% to plus 1%. Assuming that trade tensions will not result in major disruptions to customer demand and to our automation business, we expect improving trends in our end markets to materialize in the second half of the year supporting the top and bottom line. Consequently, we expect the top line in automation to continue its gradual recovery. Nevertheless, uncertainty is not much higher, and we will monitor customer and distribute the feedback very closely. DI software business will continue its consistent underlying growth trend, building on a highly successful SaaS transformation. However, as indicated in the past, the extraordinary large scale software license contracts booked in the third quarter of fiscal '24 will not repeat on those exceptionally high levels in the second half of fiscal '25. As a result, we expect comparable software revenue growth in fiscal '25 to be negative in a low-to-mid single-digit range. In nominal terms, we expect the Altair business to add around €300 million to revenue. For the second half year, we expect operational profit margin to improve in line with several factors: recovering automation revenue, unfolding productivity measures and a seasonally strong fourth quarter in software driven by EDA. However, as mentioned, material severance charges will weigh on margin. Nevertheless, we confirm that the profit margin will be in the range of 15% to 19%. For the third quarter, we see DI orders sequentially up and on a comparable level by mid-single digits below prior year. Therein, we expect the automation business to improve significantly, but with substantially lower volumes from the software business on very tough comps. We anticipate DI revenue growth to be down high-single digit on a comparable basis. Automation revenue is expected to grow moderately, whereas software will be substantially below the prior year's third quarter on a lower volume from large license deals in PLM and EDA. They were exceptionally high as discussed back then. For the third quarter, we see the profit margin excluding Altair to be around the midpoint of the annual guidance range. Now let's turn to Smart Infrastructure, which run like clockwork and delivered an outstanding second quarter performance. The team achieved strong revenue growth in healthy end markets and continued its successful run of operational margin expansion for the 18th quarter in a row. In total, orders were down 3% at a consistently high level of €6 billion. Therein orders were up by 9% in the Electrification business, which benefited from large contracts from semiconductor and power utility customers. On the other hand, orders at electrical products declined 16% due to fewer major data center orders in the U.S. compared to last year's second quarter. The decline was caused by slower project activity from one specific hyperscaler customer. Overall activity in the data center vertical remains sound with a book-to-bill above one. The book-to-bill on SI level reached a healthy 1.04. SI's strong order backlog of €19.6 billion provides very good visibility for the second half of fiscal '25. Revenue growth was broad-based and reached 10%, slightly topping expectations. The largest contribution came from the electrification business, which was up by 18% on excellent backlog conversion. Up by 8%, electrical products continued its consistent growth path from a high level. Building showed 5% growth driven by solutions and sustainability projects. In the first half of fiscal '25, revenue in the data center business grew sharply by more than 45% to around €1.3 billion. Flawless backlog execution, again, led to further operational margin expansion of 190 basis points year-over-year to 18.5%. The business continued to benefit from economies of scale due to higher revenue and high capacity utilization. SI's economic equation was once again clearly positive, supported by stringent pricing and sustainable productivity gains overcompensating for cost increases. In addition, positive currency effects contributed 40 basis points to margin improvement. As Roland mentioned, successfully exiting the wiring accessories business contributed 550 basis points to profitability. Outstanding free cash flow reached almost €1 billion on strong operational cash conversion of 0.92 supported by lower operating working capital. Looking at the regional top line development, we saw a robust demand with stronger order momentum across most geographies driven by Germany with several large electrification orders in various verticals. As mentioned, the U.S. was down 17% on very tough comps from record data center orders in Q2 of fiscal '24. China showed improving top line development across businesses on low comps. Revenue growth in all regions was fueled by excellent backlog execution. The U.S. again achieved an outstanding 16% growth. Key growth engines where the electrification and electrical product businesses, driven by successful execution of data center projects. The service business delivered 6% growth, fueled by Europe. We continue to expect very consistent and resilient end market demand trends with growth in our main verticals. Therefore, we confirm our fiscal '25 guidance of 6% to 9% comparable revenue growth and an operational profit margin in the range of 17% to 18%, excluding the wiring accessories divestment gain. For the third quarter, we see the comparable revenue growth rate being at around the midpoint of the full-year growth guidance range of 6% to 9%, strongly supported by order backlog. We anticipate the profit margin to be in the range of 17% to 18%. Mobility delivered a strong second quarter performance. Orders at €3.9 billion were up due to a higher level of large and midsized orders at attractive margins in the rolling stock and rail infrastructure businesses with several bookings towards the end of the quarter. Order backlog stands at €49 billion with further improvement in gross margin. This backlog includes more than €14 billion of attractive service business. Revenue was up 12% in the second quarter, fueled by strong rolling stock backlog execution, which was above expectations and by a growing contribution from customer services. Profit margin reached 9.1%, up 70 basis points with strength in the customer services business and stringent project execution. Free cash flow was better than expected but still on a low level in absolute terms. Looking at project payment profiles and the timing of large order awards, we expect a material catch-up in the second half of fiscal '25. Our sales funnel continues to look very promising for the second half of '25, but it will be skewed towards the fourth quarter. Specifically, the teams are progressing and working hard to reach the financial close for the red and blue lines in Egypt. We are confident to book the order as indicated in the second half of fiscal 2025. Our assumptions for revenue growth for the third quarter is to approach mid-teens on easy comps. Third quarter margin is seen again within the full-year's margin guidance of 8% to 10%. Now let me keep the commentary on the results below the industrial businesses brief. As indicated, Siemens Financial Services achieved a strong second quarter performance driven by a substantial gain in the equity business from selling the remaining stake in Bangalore Airport. This sale closed a highly successful investment chapter in India. SFS continues to expect fiscal '25 earnings before taxes on the prior year level. I'm very pleased with our free cash flow performance in the first half year, which materially topped the prior year's level in our industrial business as well as on an all-in basis. Stringent working capital management continued even though strong commercial activity led to a net increase of €300 million in operating working capital, solely driven by receivables. Outside the industrial business, we recorded substantially higher tax payments in the second quarter. We are confident that we will be able to deliver excellent levels of double-digit cash return once again in fiscal '25. And we continued our path of shareholder-friendly capital allocation with a dividend payment of €4.1 billion in February. Our share buyback program is progressing very well [Technical Difficulty] closing the Altair acquisition. Liquidity outside free cash flow was materially strengthened by more than €4 billion in proceeds from selling shares in Siemens Energy and Siemens Healthineers and by divesting the wiring accessories business. This is a sound basis for stringent capital allocation in the future, and we will continue to balance investment and attractive shareholder returns. As mentioned, we expect strong operational cash generation in the second half year and can draw on substantial financing potential from the sale of shares in listed entities. As a result, we are well prepared for upcoming financing needs such as the Dotmatics acquisition and the subsequent deleveraging. Now let me point out our updated assumptions for our outlook for fiscal '25. Our expectations are unchanged regarding R&D intensity, which will be at least on the high level of fiscal '24. They also -- they are also unchanged regarding selected investments in growth here. These investments will keep SG&A as a percentage of revenue on par with the prior year. We will continue to support midterm growth momentum by increasing CapEx and targeted growth fields to expand the passages and resilience, as mentioned before. As previously discussed, we assume now higher expenses for adjustments in fiscal '25, particularly. Therefore, we now expect severance in the range of €500 million to €600 million. We recorded a modest tailwind from exchange rate in the first half year. However, based on current rates, we expect this to turn into a headwind for the second half of fiscal '25. Let me now give you a short update on Altair. We closed the acquisition right at the end of the second quarter. Since then, our teams have been diligently working on the integration to swiftly start executing on the planned synergy. For the time being, we continue excluding Altair effects from our guidance for fiscal '25 as we are still in the process of assessing phasing and impact of certain details of post-closing and integration activity. For modeling purposes, you can assume a negative impact on EPS pre-PPA in the range of €0.30 to €0.40 for fiscal '25, including bridge financing due to early closing. For additional PPA, you can assume around €100 million for the second half of fiscal '25. We will update you on further financial implications from Altair with our third quarter results. Now let me conclude with our guidance for the group, which we confirm despite increased uncertainty in the economic environment. For the Siemens Group, we expect comparable revenue growth in the range of 3% to 7% and the book-to-bill ratio above 4%. We expect EPS pre-PPA of fiscal '25 in the range of €10.40 to €11. This excludes a positive €2.64 per share related to the sale of Innomotics, and as mentioned, the effects related to the acquisition of Altair, which closed at the end of the second quarter and is therefore not yet included. This outlook excludes burdens from legal and regulatory matters as always. Ladies and gentlemen, our direction is unchanged. We will deliver further value creation through profitable growth, resilient cash generation and prudent capital allocation. With that, I hand it back to you, Tobias for Q&A.
Tobias Atzler: Thank you, Ralf. We can now wait for Q&A. [Operator Instructions]. Operator, please open the Q&A now.
Operator: Thank you, ladies and gentlemen. [Operator Instructions]. We will now begin the question-and-answer session. [Operator Instructions]. The first question comes from Alexander Virgo from Bank of America. Please go ahead.
Alexander Virgo: Yes, thanks very much. Good morning, Roland, hi, Ralf, Tobias, thanks for the questions. I guess it's a D&I question, please. So I wondered if you can talk through some of the trends in U.S. and China. And if I could split it into two parts, please, the automation piece and the software piece. So if I look at the region trends, it looks like U.S. has slowed from 12% growth -- order growth last quarter to 0 this quarter, although I know had sequentially up. So question is just around what you're seeing in terms of customer behavior, you referred to uncertainty in April. Any comments on trading would be really helpful. And if you could include why software growth, ARR growth has slowed from 14 to 12, that would be really helpful. And then Ralf, if I could just triangulate, please on the guidance for Q3. Would it be fair to assume you expect book-to-bill in the automation business to be above one or below one? And the revenue growth for that piece of the business to be about mid-single-digit? Thank you very much.
Ralf Thomas: So thank you, Alex. That was quite a plateful. Let me start with the last one together off the table. The book-to-bill for the automation business will be pretty much around one from today's perspective. And when I said that starting into the third quarter, customer behavior is driven by a certain level of uncertainty and precedents, this is not really new. I mean, it was pretty much like that for the last eight to 10 weeks since the debate around tariffs is very volatile in changing perspectives and many of our customers probably think twice about placing orders. Nevertheless, the structural demand if there are no doubt. And therefore, I just consider that to be a potential timing difference at the moment. Also, first figures about April from that quarterly note as we speak for today, there is not a massive change. It is pretty much in line with our expectations. I mean typically after the third month of the quarter, we have a bit of a bounce back when it comes to new orders, it's obvious and a normal pattern in -- that's what we see for many years. So I would call that in line. I have been walking you through the different geographies already which is having -- putting quite some confidence into the business expectations way forward in China that there was a clear momentum being created in new orders in the short-cycle business of DI in China. We consider the normalization as we called it to be completed as indicated materially, we are actually where we think we are for steady state. Also the world famous distributor stocks have been coming down now in February third quarter to an managed level below, so eight to nine was of use to be that for as normality in the past. And so is the backlog in our loan books in China, and also in our customer stocks, we think we may say completed when it comes to normalization. Still, of course, we stay very closely in touch after all that we have sent down to our distributors or large and material ones in the country in China in particular, but also off-site to make sure that we anticipate a movement in the market in the best and most earliest way that we have into that. So also, let me use the opportunity to also point out that was not the center of your question that the vertical of data center in SI. This was not a surprise with new orders in the second quarter. I mean, you may remember that the last year's second quarter, and we have been calling that output numbers was on a level of €1.2 billion new orders. In data center, that was exceptionally high and almost twice the amount we had in the prior quarter then. We have been indicating this is not new normal, obviously. And therefore, we are not surprised that there's a bounce back on extremely tough comps in prior year. What is important for us way forward for the data center business is that we still see high growth rate in executing the existing backlog here with a growth rate of 42% in the second quarter in revenues on levels of [indiscernible]. We see ourselves absolutely confirmed and can only underpin what I said in the first quarter of our data center business. We expect the growth rate between 20% and 30% for the full fiscal year. Even though we run a bit ahead of that at the moment, we respectfully looking at the marketplace, the backlog is clearly underpinning that number again and the visibility we have there is very reliable. It used to be very clear in the past. Also let me say that, in particular, SI is more than data center. Our power utilities business in terms of new orders has been picking up by 13% in the second quarter. So this is the public sector and education by 16%. Commercial buildings a bit slower with plus 6%. And so the industrial vertical on the same level of plus 6%. So we do see clear momentum in the end customer industries there. And if you wish, I can go deeper, maybe you follow up with a question in that area if you want. So customer behavior at the moment is obviously somewhat hesitant when it comes to placements of new orders, but we don't see it muted or something. I think we will have clear evidence of that in the months to come in May, while we speak, we see movement, but it's probably natural that under the given circumstances with different view on important matters like tariffs is changing literally from day to day that people are somewhat hesitant. Structural demand is intact.
Roland Busch: Yes. Regarding the ARR, I mean it doesn't make me too much nervous in one quarter. There's a limited restriction due to the commercial department in the United States, in particular, on EDA and there in semiconductor manufacturing, whereas, if you take this restriction out, we're almost on this 40% level, maybe that. So therefore, there's a little bit of an impact to the restrictions.
Alexander Virgo: Okay, that's very helpful. Thank you both.
Tobias Atzler: Next question, please.
Operator: The next question comes from Andre Kukhnin from UBS. Please go ahead.
Andre Kukhnin: Yes, good morning. Thank you very much for taking my question. I wanted to ask about China as well, but maybe to dig a bit more into the new product introductions that you made there. Could you talk a bit more about whether that spans the entire automation offering that you have in China with those 16 launches or 18 in total. You said excellent customer reaction. Is that something that's already yielded a result in the Q2 order number? Or is that more to come in Q3? Sorry if this repeats my line cut out literally the Q&A started. But if we could just maybe broaden that a bit to talk about the dynamics on that sort of slower decision-making maybe in China that you mentioned as well. Where is this kind of net balance of that in April and maybe May so far of that kind of underlying recovery that we've seen versus maybe some delays and customers may be holding on to their wallets were talking strongly about April numbers. So I just wondered how that stand out for you? Thank you.
Roland Busch: So let me start this, we talked, I think, nine months ago that we are triggering the development of local products, in particular, in the value for money segment, with local-for-local development, including local sourcing, local design, specification, sourcing, manufacturing, and we delivered, quality and delivered. China, our China team did a great job, and now coming a little bit to the details out of these 18 products, this is -- most of them up from the automation area but also from electrical products, 16 local development. In a month, that is for example, first product on our SINAMICS V20, which is a redesigned step. We have our S7-1200 in the level, which we launched there, fully localized version. We are working on cost reduction in our drives business, obviously, which is maybe the strongest swing from we see from Innomotics. The customer feedback is very strong. Obviously, there's no impact on our numbers yet. When we just launched it. This is now picking up in the market. And I would say, stay tuned for the next two quarters to see how that lands in our customers. But again, they look a little bit a huge feedback from the market, got feedback that we are going in the right direction. What is it all about? For example, for the TOC stuff, it's enhanced functionalities, for example, improved computing speed, super important also for the battery manufacturing. It's more motion control functions, more robust to diagnostic features but also serving multiple communication protocols, while working obviously, on all costs in the pricing level here. Another one is the way how the technology is used. It's about virtual commissioning toolkits for application packages, also user interface, we're focusing on which you get when you go for a local-for-local development. Let's get more for the particular needs. So all in all, we could -- I could report electronically some breakthroughs or win backs. Breakthroughs into customers we didn't serve yet, but also win back where we had lost to Innomotics and we won it back in the glass industry, semiconductor, pharma, fire, some battery, swapping stations, automotive electronics. So all in all, we are happy. I have to say this is not the end, it's a start. We keep on going in the next generation of developing the next batch of products while also working on redesign and taking cost out and designing local-for-local components into our products.
Ralf Thomas: Yes. Andre, let me answer the new question around decision-making behavior, I make the point of [indiscernible] we talk to customers, we do see is normal under the given circumstances with such a high level of uncertainty. We however have not see any structure change in the structural demand. Therefore, we consider this to be a timing aspect. But sharing a bit of numbers for April, there is still a clear growth momentum when it comes to automation in new orders on a global level. We have been moving clearly over and above the prior year's level again, which is obvious, but also if you compare the first month of the quarter to the first month of the prior quarter, there's also clearly some uptick. It's a consistent move, but it's not really a V-shaped recovery or something. That was the point out I was trying to make. The same is applicable for revenues and automation on a global basis. And I have been referring to China in particular, where we see really clear growth momentum and a normalization that is now better reflecting with new orders and market dynamics. We haven't been seen through that with the stockpiling on the distributor shelf for quite some time, and there is now clear evidence that normalization is also reflected in the fact that new orders are systematically referring back to the market dynamics and not to activities corrections on the shelves of distributors and OEM storages. So therefore, if you wish, I can quickly touch on the different verticals. I mean I said that and I mentioned that in my presentation that automotive and machinery of course touched from the effect of tariffs and alike. Chemicals is pretty much within average, I would say, when it comes to that what we see in the market dynamics. I would not see them in the center of being affected from our customer base perspective. In pharma improvements in Europe and also clear growth in the U.S. in the early month of calendar '25. Also a couple of bigger CapEx projects have been announced, as you know, while Asia is rather muted at the moment. Food and beverage tariffs with possible high impact on domestic U.S. prices have been debated a lot in public. I don't want to repeat all that. Though globally, the food industry is likely not to be significantly affected. And as we are cooperating and delivering to all major players globally, we do not think that this is going to harm that sector or that market segment, this vertical for us on a global basis, even though country by country, the pattern may be erratic for quite some time. Electronics and semis have good momentum in the new fiscal year for us. Tariff effects are, of course there, depending on exemption rules, which kick in and kick out again. So therefore, we are in a position to watch that and monitor that closely. But we don't see any major supply chain disruption risk at the moment and of course, very closely monitoring that because it's of the essence. And last but not least, when it comes to aerospace and defense, defense is obviously providing many opportunities, aerospace in particular around one of the big global players, not at the moment. But after the latest news that I got this morning, there may be incremental momentum for that particular company, too. But we are not building our perspectives on moat. We just look at tangible facts and what we see, I can only underpin that, again structural demand for the portfolio we are running is extremely relevant, in particular, when it comes to the combination of digitization and automation and electrification speaking for itself. So we feel confident. Otherwise, we wouldn't confirm our guidance that we can handle even though the magnitude and variety of challenges at the same time, we can handle that very well. Team Siemens is strong.
Andre Kukhnin: Really helpful. Thank you very much.
Tobias Atzler: Next question, please.
Operator: The next question comes from Max Yates from Morgan Stanley. Please go ahead.
Max Yates: Hi, thank you very much. And good morning. Ralf, could I just ask a little bit around the severance assumptions for Digital Industries and the margins. So you've said that margins will go up to the midpoint of the range for Q3, so around 17%. Could you just let us know how much severance you're assuming for the third quarter? And the reason I ask this, and it's quite specific is just because, obviously, we know the back end or the back half of the year is going to be relatively sort of severance heavy. I would guess you're going to have, given the new severance guidance at group somewhere between €250 million to €300 million within Digital Industries this year. So I'm just wondering how that sort of phases in the second half? And is it actually going to be possible to have fourth quarter margins up sequentially because you could have severance costs that are 200 basis points of margin higher the next quarter. Just to understand a little bit about how much severance do you think in DI for the full year? How will that phase? And what are you assuming within that 17% margin assumption? Because it will help us better understand what the underlying business is doing within that guidance? Thank you.
Ralf Thomas: Yes, I'm happy to give you my best effort. But as I said, we are in negotiations and therefore, it would be not prudent to call out numbers that would potentially back in those negotiations. But to give you a glimpse is that, what we expect from today's perspective, talking you through the severance numbers and plans overall, just assessing the status, we had a grand total in the first quarter of €83 million. We have been booking €90 million in the second quarter for Siemens in total. The amount in the second quarter for DI was negligible, was around €10 million, so not really material. I do expect some areas where we can get into a booking in the third quarter. So if you consider mid-double-digit number for that next quarter, I think that's prudent. And then as rightfully have been assessing, the big chunk is going to materialize for DI in the last quarter will be heavy loaded and still, I do expect that the margin will incrementally move upwards throughout the quarters that we see because this is a Phase A on volume pickup. We talked about that already. I think there is quite a bunch of data points underpinning the expectations that we have at the moment. And also a net positive economic equation, that's what I said. So the combination of pricing power and productivity measures that have been already taken unfold their impact in the quarters to come. That is also under pretty positive development of the underlying margin. And I can only repeat what I said, we do see the margin corridor for DI that we have been guiding for, including the higher level of severance still being valid. I was cautious about anticipating the phasing and the overall amount being effective for the Altair acquisition in DI at the moment. It's not about the uncertainty on topics. It's about phasing. You do know there is a certain dynamic in that. You book the expenses and the fees as they occur. I assume that's going to happen soon and will be completed then when we do have integration efforts that's also quite tangible. And then when it comes to assessing the quantity and the phasing quarters for technical aspects that are more accounting-driven like aircraft and so on, this would be speculated. Therefore, we excluded that, but in a nutshell, and that what I tried to get across. We have a clear grip around that was starting to happen around Altair for the current fiscal year, all-in impact, something between €0.30 and €0.40 on guidance for fiscal '25. And for DI, the overall impact may be in the area of around 80 basis points for the annual margin, maybe 90, I do not know the detail at the moment, but it will not be outrageous. So we have a grip around matters. I know there is many numbers floating around, and we are putting quite some work on your shoulders, but we wanted to share that and be fully transparent on matters that you can form and educate the view. We believe that DI is on a very good trajectory. They have been doing their homework. Unfortunately, the discussion and debate around tariffs is not making things easier for them, but we have a very clear view on what needs to be done in, at which point in time and in which area to make this business even more successful on the way forward. Therefore, for us, last sentence, it's of utmost important to see a clear structural demand, which is there and we are very intensively discussing also the way forward with many of our customers with and for the business model. Roland has been mentioning the Hannover Fair. So there is a huge interest on tech on opportunities or the customers and our customer industry is on the way forward. There is no way around stepping on productivity, some tools that we can provide from making their business more resilient and also give them a better growth trajectory on the way forward with high productivity level.
Max Yates: Understood. Thank you very much.
Tobias Atzler: Next question, please.
Operator: The next question comes from Ben Uglow from OxCap Analytics. Please go ahead.
Ben Uglow: Good morning, everyone. Thank you for taking the question. Ralf, I guess I'm trying to fully understand the kind of the software piece within DI. Can you -- I know I appreciate this is a slightly dumb question, but why are we seeing a high teens decline in one quarter on the EDA side? Why is it that lumpy? And should -- how do we think about the EDA portion? I think it sounds as if it's getting much better. But I guess my first question is why is it so lumpy? What is driving that level of quarterly volatility? And then the kind of related question is, overall, if we simplify it, it looks like the software margins are sort of low-double digit a bit. How does that margin progress from here? And the reason why I asked the question is you've been consistent in talking about a gradual ramp in the overall margin, the so-called value of the fish. And there are views out there in the market that suddenly we're going to be seeing 30% margins from Siemens software next year. So from where we are today, which looks like a pretty weak software margin, how should that sequentially evolve? Thank you.
Ralf Thomas: Thanks, Ben. Obviously, a topic that we're digging deeply amid again. And let's put it into a nutshell. The lumpiness of the EDA business is something we don't have impact on. We have been sharing as much as we could last year third quarter. I mean, there was a high -- really high accumulation and I saw that before of large sale project and then orders hitting our books that have been convert into revenues to a large extent. Therefore, we had an extraordinary strong quarter back then. So therefore, the guidance I gave for the third quarter current fiscal year is pretty much driven to a large extent by the extraordinary third quarter in prior year. Nevertheless, the third quarter current fiscal doesn't have a strong EDA component from today's perspective. That may change. Sometimes things develop faster. But given that what I said before about decision-making processing with customers at the moment, not only in that field, but in general, it feels like it takes rather a bit longer than faster and therefore, I'm not over optimistically looking into an improvement of the third quarter. We have signed a firm grip around upcoming orders on the EDA side for the fourth quarter with strong funnel. And also the partners we are dealing with them. We have historical evidence out there doing and also we will have a good understanding of their business needs. So the likelihood that there will be a strong EDA quarter, if I may put it that way in the fourth quarter is pretty high. There's never any guarantee, obviously. We do our best to get seasonality out, but I speak to that what I always say, never push our customer. We follow whether it's around SaaS transitioning or whether it's the salesmen of large license orders. We are well advised to listen carefully to your customers. And that's what we try to do. And we also have been, I think, talking a lot about the last quarter meaningful start into the fiscal year. So therefore, in a nutshell, I tend to regret that we don't have an impact on that matter, but we try to be as transparent as possible, but maybe also forming your own views on matters, taking the last third quarter's accumulation of large orders in big license deals, both PLM and also on the EDA side that I think is important. And I personally try to form my own [indiscernible] by looking into the rolling four quarters perspective or something like that. And this is evening out a lots of those chunky -- of those lumpiness. So margin progress, too early to talk numbers. You know that, Ben, we said that we are going to share with you once we have been transitioning the value is done of the picture, I guess, we may say that. We see still very encouraging numbers for shares many of them when it comes to new customers, when it comes to portion of cloud-based deals that we get, all that is pointing into the right direction, concluding on the asset level of margin too early today, but what we see is the momentum is there, and I would like to repeat and underpin what I said before. Even if the fish was longer than expected, this is other opportunities because that means that we are winning in the sweet spot of a market where we haven't been that successful in the past, many small and medium customers, new entrances and expanding our footprint there will be extremely beneficial in the mid and long term. That's what we are convinced of. That's what we get as a response for our customers and don't underestimate the opportunity be aligned and getting feedback of so many customers is also helping us better understand tomorrows needs and their perspectives with their own businesses. We highly appreciate that, and we will capitalize on it. But it's too early to call out the exact profitability. We will share with you once we come to that bridge.
Ben Uglow: Okay. That's understood. Thank you very much gentlemen.
Tobias Atzler: Next question, please.
Operator: The next question comes from James Moore from Redburn Atlantic. Please go ahead.
James Moore: Yes, good morning everyone. And thank you for the time. I wondered if I could circle back on a few specs. On automation, with 2.8 of orders or so, 2.9 of sales, we were doing 3 billion a quarter back in 2019, and one might imagine a low-double digit cumulative price since then. And with 20-year rolling volume growth at maybe two plus a year, one would anticipate that true underlying equilibrium demand should be meaningfully above that kind of level. Do you share that view? And would you be able to sort of quantify what you think through underlying equilibrium demand looks like once we get if ever, past the noise of tariffs and the likes? And if I could just follow-up on currency, you mentioned a tailwind in the first half and a headwind in the second. Any chance you could quantify that on the margin Ralph with respect to the group and the divisions where it's most pertinent?
Ralf Thomas: Thank you, James. And let me start with the exchange rate. I think -- I mean, you are familiar with our hedging schemes and how we do that. I don't want to bore you with repeating all that. So everything we can do, we do that. Of course, we are also using all digital means meanwhile, to come up with a net position to be hedged ultimately. So all that is giving me some comfort that we are not missing any but in that regards. The exchange rate is what it is at the moment. We do see fairly high volatility. I don't need to share with you anyway. And the biggest risk, if you will, there is not the margin development of the businesses, but rather the translation effects. I mean, if and when it came to extremes and U.S. dollar would weaken by much further, that has then tremendous impact on translational effects for our EPS that could easily go into the low-triple digit millions. I have a lot of respect for that, but I'm still quite confident that we can handle even that as we speak. And there is no opportunity to get immunity against translation effects. We know that. So therefore, we just respectfully watch that. So that's rather the area of concern. When it comes to the impact -- on the single businesses, I mean, you do know we have a strong showing in our SI business in the U.S. DI business has a strong focus in Europe and also in China. We have room to improve in automation businesses when it comes to discrete in the U.S. So it may also be beneficial in certain scenarios for us, but better opportunities winning in the market space there. But I don't want to speculate on that, to be honest. We'll share with you from today's perspective, I don't see any material impact on the margin development for the full fiscal year for Industrial business Brand total. It may vary as we saw that with SI in the current quarter in the second quarter with 40 basis points. All the others were not materially affected in that quarter, and we'll share with you as we go along. When it comes to automation, I can fully understand your math. It's hard to capture pricing effects and inflation over a longer period of time because there's also other effects having impact on the discounting in certain areas, initiatives that you launch to be present at certain points in time in certain marketplaces. But I agree with you, there is still some potential to catch up on a per unit basis, if you will, in the market on the way forward. We have a lot of respect for our competitors, obviously, and we have been launching, for example, those 16 plus two products in China, which we don't see the impact yet in our numbers. Obviously, I mean, this was just a couple of weeks back. It would be to expect a huge material impact on new orders and KPIs along with that. But there is momentum that we can unfold. The current scenario around tariffs is not encouraging decision-making processes. I mentioned that a couple of times. So therefore, I believe it's still fair assumption that we take that there is incremental momentum possible that may even exceed what we saw once things are straightened out and we have clarity on the way forward. This will then unleash that potential that is stalled at the moment, and it's about being there and available for our customers at that very moment, and this is what we are going to be.
Roland Busch: Maybe on a global view on the automation market. You know this roller coaster, which was triggered by COVID and the like. And you take the global market for automation in '23, it was somehow peak, which was according to our market estimation at €87 billion. And then this will not -- this will come back to the same level in 2026. So -- and there are two years in between. If you take the long-term, it's a continuous trend and we have this up and down in the middle. If you average it out, we see a growth rate of something between 4% and 5%, this is globally. If you go deeper now in certain level of countries or process versus discrete, you might have a little bit of a different picture. But it's basically a recovery to these peak levels, which we saw artificially within two years. Third message is the automation trend is intact. We will see more and more automation, more [indiscernible] more automation for very obvious reasons. Resilience requires building new plants, smaller plants, you don't just leverage and you want to automate them even more. If you talk, for example, to some customers like Foxconn, they say we go all in as automated as possible and for very good reasons. And so therefore, this is an intact trend, and you have to look through this roller coaster which I always call it for the upcoming [indiscernible].
James Moore: That's really helpful. Thank you.
Tobias Atzler: Next question, please.
Operator: The next question comes from Jonathan Mounsey from BNP Paribas. Please go ahead.
Jonathan Mounsey: Thank you for taking me in. Good morning all. Maybe on Dotmatics, obviously, well, the deal surprised me at least somewhat in terms of its nature. Just want to understand better the scale of your ambition here. I think this is obviously the first time we've had you live since the deal was announced. And perhaps you just tell us a bit more, is it likely to be a stand-alone deal sufficient for your ambitions in the areas of drug discovery? It's just that -- I know with the previous deals that you've done in PLM and EDA after you completed those deals, there were a number of bolt-ons that kind of bumped out the offer, developed it further. And now that we've moved into what I would say is a slightly different area, I realize it can be integrated with other software businesses, but I think it's a different vertical. Yes, what's the scope of your ambition there? We like to see a lot of capital allocated to more software around this area that Dotmatics plays in?
Roland Busch: So that's a quite obvious observation that whereas Altea sits in the four core of our software simulation business, and Dotmatics was sitting a little bit on the side. This is the reason why we say with this acquisition, we are opening also a newly totally addressed market of €11 billion, which is particularly focused on life science and other markets. And here in the design phase, so drug discovery phase. So it's all about the simulation molecules and tracking then these are authorization tools, which we have because you have to have a very, very strict process to follow up once you discover a molecule, then we have to have a very strict handover to the production process in order to fulfill all these requirements, which is super relevant. And this is the reason why also the data backbone of this whole drug discovery path which you have is super relevant. Dotmatics has a super innovative solution, which we're working on. So the pattern which I was describing, which comes from the design phase, we know how that goes. You have the teams and you have the underlying data platform, you have the design platform on top and you keep that going because then you push the data from your design, your bill of material and the like to the manufacturing space, which allows you to close the cycle faster and much more efficient. And that's -- guess what, that's the same principle. Yet the drug discovery market is years back. So we can really catch up. And to your point, it's quite obvious that once we are adding into that space, we have two dimensions. One is creating synergies. We have customer access. We have synergies on the go-to-market in our software space, and we can leverage that. But it's obvious that we would also open the opportunity for other plug-ins, so smaller add-on acquisitions in order to leverage this now newly total addressable market for Siemens. And €11 billion is sizable. This is quite a bit. Remember that the total market Siemens is serving some €500 million, €600 million. So one individual space which we are opening now is substantial opportunities. Last point, even if we would not add other, let's say, medium or larger acquisitions in that space, the math still works. We have a good business case behind. We have synergies, [indiscernible] know how to do that, how to integrate software, how to bring it over to market. So therefore, the M&A decision was based on a stand-alone decision for acquiring Dotmatics integrated [indiscernible].
Jonathan Mounsey: Thank you.
Tobias Atzler: We will take one more question.
Operator: Today's last question is from Martin Wilkie from Citi. Please go ahead.
Martin Wilkie: Thank you. Yes, good morning. It's Martin from Citi. Just a question coming back on software. And I appreciate the Altair deal has only been closed for a few weeks. But could you give us any industry examples where you might already be getting some of the revenue synergies from that deal even in terms of just the customer conversations. I mean, obviously, integrating software into your broader portfolio with simulation and AI looks to be a sort of key part of your strategy. I saw some announcements at the Automate trade fair a few days ago. But just to get some early examples of how customers are seeing your increased offering with that deal? Thank you.
Roland Busch: So obviously, it's too early -- it closed in March. So it's too early to report really on hard facts or materials which we can disclose. But what I can share with you is we see many customers who have Altea and our software suite next to each other. And obviously, for them, it's meaningful to say, how will that integrate now and going faster. And we see customers who say, we have your portfolio, but you're missing out on the simulation part, which is for mechanics and asset electrodynamics. And they are super excited now to say, let's hook up in a seamless way, Altair. So -- and the basic idea of saying we are now completing our portfolio to get one integrated simulation portfolio out of one hand. Same philosophy. We are open. We are allowed to integrate other softwares compared to our competitors. They go from more growth path, which we don't believe in. They appreciate that. And with that, we see super, super positive feedback. The trade fair was exciting. So was -- and this is another dimension. Customers is one aspect. But if you look at -- we talk to the IT people, they see the benefit, too. They are also very positive in the way how we go forward, and they can be part of a bigger picture. So all in all, all what we anticipated in that deal is meeting or even exceeding the expectations. And we hope that we can soon also report on wins, customer wins and then also on the top and bottom line.
Martin Wilkie: Great. Thank you very much.
Tobias Atzler: Thanks a lot to everyone for participating today. As always, the team and I will be available for further questions. We are looking forward to our sell-side call later today and meeting many of you either virtually or in-person on our roadshows over the upcoming weeks. Have a wonderful day, and goodbye.
Operator: Ladies and gentlemen, that will conclude today's conference call, and you may disconnect your telephone. Thank you for joining, and have a pleasant day. Goodbye.